Operator: Good morning. Thank you for joining us today to discuss Consolidated Water Company's First Quarter of 2020 Results ended March 31, 2020. Joining us today is the Chief Executive Officer of Consolidated Water Company, Rick McTaggart; and the Company's Chief Financial Officer, David Sasnett. Following their remarks, we will open the call to your questions. Before we conclude today's call, I'll provide some important cautions regarding the forward-looking statements made by management during the call. I'd like to remind everyone that today's call is being recorded and will be made available for telecom replay via instructions in last Friday's press release, which is available in the Investor Relations section of the Company's website. Now, I would like to turn the call over to Consolidated Water Company's CEO, Rick McTaggart. Sir, please go ahead.
Rick McTaggart: Thanks a lot, Sean, and good morning everyone. Thanks for joining us on today's call. The first quarter of 2020 was a solid quarter for Consolidated Water. We made strong progress in growing our overall business and expanding our operational platform to support continued growth and market reach. Our 22% increase in revenue to a record $20.7 million was largely due to $3 million that was contributed by PERC Water, our new 51% owned subsidiary that we acquired in the fourth quarter of last year. Our retail segment and manufacturing segment also contributed to the increase in overall revenue, with these segments' gross profits also up from the first quarter of last year. Water management challenges continue to create demand not only for potable water solutions like desalination, but also for wastewater treatment and reuse projects. PERC supports our pursuit of these water reuse projects and other emerging opportunities and has proven to be highly complementary and synergistic to our existing business and overall mission. PERC allows us to offer comprehensive solutions for improving water and wastewater treatment infrastructures and provides us a solid platform upon which we can expand our core business of designing, constructing and operating desalination plants in North America. PERC also exemplifies the high-quality opportunities we are pursuing to drive continued growth and enhance shareholder value over the coming years. Also in the first quarter, we acquired the remaining 49% interest in Aerex Industries, our manufacturing subsidiary based in Ft. Pierce, Florida. Since we acquired our original 51% of Aerex back in February 2016, we have strengthened its capabilities and resources as well as expanded its product offerings. As a result, their performance has improved substantially and we expect Aerex to continue to enhance our shareholder value over the coming years. Now, before I go further, I'd like to turn the call over to David, who will take us through the financial details of the quarter. I'll then return to provide more information on how COVID-19 has impacted our operational activities and the Company's outlook for the remainder of the year. David?
David Sasnett: Thanks, Rick. Good morning, everyone. Hopefully everyone's had a chance to look at our press release, which we issued on Friday. This first quarter was an excellent quarter for us from a financial results perspective. Our revenue increased 22% to $20.7 million as compared to $17 million for the first quarter of 2019. Our services segment contributed most to this revenue increase. Our services segment added $3 million in revenue due to our acquisition of PERC, which occurred back in October. Our manufacturing segment grew its revenue by $823,000. And our retail segment posted a $571,000 increase in revenue. These increases were partially offset by a decrease of about $671,000 for our bulk segment. The increase in our manufacturing revenue was due to an increase in the number of projects and production activity. The increase in our retail revenue was due to a 10% increase in the volume of water sold on Grand Cayman by Cayman Water. This was primarily due to drought-like conditions that existed for the first quarter of this year as compared to last year. Rainfall for the first quarter on Grand Cayman was only 12% of what it was for the first quarter of last year and only 12% of the 30-year historical average for the first quarter. The decrease in bulk revenue was due to the lower rates that came into effect in February of 2019 for water supplied by the Red Gate and North Sound plants as well as lower rates that came into effect in last July for the North Side Water Works plant, and these revenue decreases were due to the new contracts we sign for those plants. Our gross profit for the first quarter of 2020 was $8.4 million, which is a 21% increase from the $7 million we posted in the same first quarter of last year. Our net income attributable to Consolidated Water stockholders for the first quarter of 2020 was $2.9 million or $0.19 per fully diluted share. This was down 53% from the $6.2 million or 41% -- $0.41 per fully diluted share in the same quarter of last year, but last year had a gain of $3.6 million in the first quarter for the sale of our Belize subsidiary. With respect to our balance sheet, our cash and cash equivalents totaled $32.3 million as of March 31, 2020 as compared to $42.9 million as of the end of 2019, and the decrease in our cash was primarily due to the cash we used to acquire the remaining 49% of Aerex. We believe our cash position and available funds and borrowing capabilities provide us with the sufficient liquidity we need for the rest of this year. And this wraps up my brief discussion of the financial results for the quarter. I'd like to turn the call back over to Rick.
Rick McTaggart: Thanks David. While we continue to be concerned about the impact of COVID-19 on the world economy and our business, we remain optimistic about Consolidated Water's future, especially as it appears from recent reports that the rate of spread of the disease has begun to diminish and the economies of some states and cities are opening up again. All of our water treatment and manufacturing operations have been operating reliably and efficiently, and we expect this to continue based on our experiences so far. We continue to provide world-class service to all of our customers. However, continued travel interruptions and resulting declines in tourism will likely adversely affect water demand for our desalination businesses in Grand Cayman. Because the vast majority of our retail customers are residents and businesses on Grand Cayman who depend on tourism, we have already been asked to help support those customers by extending credit terms and suspending service disconnections. Our revenues from bulk water supply contracts with government entities are not as directly affected by a short-term decline in tourism, but could be adversely impacted over the longer term by continued weaknesses and the economies of the Cayman Islands and The Bahamas, which have already drastically slowed due to the impact of COVID-19. While the outlook for our U.S.-based businesses is not affected by tourism and remains positive, these businesses could eventually be adversely affected by a decline in the U.S. and world economies with supply chain interruptions. For our project in Rosarito, Baja California, Mexico involving the construction and operating of a major seawater desalination plant and distribution pipeline, the impact of COVID-19 is difficult to measure at present. Mexico like everywhere else is experiencing economic and social difficulties from the pandemic and government entities are closed or working with skeleton staff, which has slowed work on our project. Like many other states in the U.S., Mexico recently announced new stay-at-home orders, social distancing and suspension of non-essential school and work activities with these restrictions being in place until May 30. Let's say if these measures are successful, the country hopes to begin relaxing restrictions starting June 1. The Rosarito project will provide a much needed major new source of drinking water for the coastal region of Baja, California. So we are hopeful this project can continue to advance in the near term. Despite the uncertainties created by the pandemic, we still consider acquisitions to be a strategic imperative, and this continues to be supported by our cash on hand. While we remain open to a number of strategic options and scenarios, our ideal target would expand our geographic footprint in the U.S. and further diversify our revenue streams. Looking beyond the near-term challenges and setbacks created by the pandemic, we see long-term industry growth drivers remain strong and boding well for Consolidated Water. We expect them to be good for growth and opportunities and especially for building shareholder value over the quarters and years to come. Now I'd like to open the call up to questions. Sean?
Operator: [Operator Instructions] Our first question today will come from Gerry Sweeney with ROTH Capital. Please go ahead.
Gerry Sweeney: Just on the bulk side, I believe most of the contracts have certain, I guess take or pay levels. So if volumes go down, you're not impacted on the revenue side. On the retail side, are there any take or pay levels or is that strictly volume driven? And have you seen any decrease in volumes?
David Sasnett: Well, first of all, Gerry, let me clarify the structure of our bulk contracts. They're not minimum take or pays. There are minimum payments that have to be made by the government. Regardless of the amount of water they use. But it's not really a minimum take or pay then there's a separate component. They pay us for the amount of water they use. So, as we said in the Q, the bulk contracts are not as impacted by changes in demand as retail. With respect to our retail contracts, it's very much dependent upon usage. The usage, there's really not any minimum payments there that are significant. But you have to understand that there is a certain population in our licensed area that has to have the water. There are residents there, but, we've often talked about the impact of rainfall on our business in Grand Cayman, and really, that's been the biggest determinant of how much we sell. Because tourism would go up and down, but there was always a base level of tourism on Grand Cayman, but now there's no tourism. So looking forward, as we talked about in the Q, there was a 13% decline in water demand for our retail operation in April as compared to March. So we're very sensitive changes in the demand there, and being close going be off because they are on our tourists on Grand Cayman.
Gerry Sweeney: Got it, yes I was trying to check from the tourism numbers, but they haven't been updated since February - the last numbers?
Rick McTaggart: They are zero sort of and I forgot to tell you.
Gerry Sweeney: Yes, I figured, I figured - update it. There was nothing to really put in there. So and then shifting gears a little bit. Aerex continues to do pretty well, and is executed very well in the last several quarters in the press release. You highlighted the strength and the capabilities and resources and I think added some additional product offerings et cetera. Can you give us a little bit of detail as to what you did there just and how much things have changed for background perspective?
Rick McTaggart: Well we bolstered the staff. Last year we hired a VP of manufacturing, which added, a lot of value to that business, and we've also hired a full time sales guy. It's devoted specifically for Aerex from the standpoint of product offerings. I mean, we've gone back to some products that we hadn't done in recent years. And you know, we're going after customers that are, that there's demand for those products with. So, we're not reinventing anything. I think just bolstering what we have and going back to some of the basics there to increase shareholder value.
Gerry Sweeney: Got it. And any impact on the backlog at Aerex from COVID or is it remained relatively in good shape?
Rick McTaggart: Well I mean, from the standpoint of what we're doing this year, I think we remain busy for the rest of the year. Going forward, it's really difficult to say Gerry I mean.
Gerry Sweeney: Okay.
Rick McTaggart: Sort of the project activities worldwide have slowed. It's really early on to say how it's going to look next year.
Gerry Sweeney: Okay, that’s fair. And then finally just on Rosarito, I know you gave some color in your prepared remarks, but just any additional thoughts, conversations with the government there, do we have to sort of wait till maybe the stay at home orders are lifted and people go back to work. I also suspect that at some point, infrastructure may become a viable sort of stimulus opportunity and maybe Rosarito could fall into that, any comments, thoughts?
Rick McTaggart: Well, it's difficult to make progress now with a lot of these guys. I mean, some of the people that we've been dealing with have gotten sick and recovered, and it slows down things. There's been if you look at the Baja, California recent press, I mean there's waters been talked about quite a bit there. The governor is created a new cabinet position that deals exclusively with water. So, the focus is on solving the issues there. It's just - I think the disruption from the pandemic has slowed things down a bit. So we're working with the government officials and are continuing to have contact with them, but it's difficult to make progress.
Operator: [Operator Instructions] Our next question will come from Hasan Doza with Water Asset. Please go ahead.
Hasan Doza: I have two questions. The first is when I reviewed your 10-Q I noticed an uptick in the correction of receivable in Bahamas is actually a large uptick. Can you please give an update as to what you're seeing in the Bahamas and how much could be aggravated by COVID-19 and then I have quick follow up?
David Sasnett: So I'm not sure, could you repeat that first part of your question Hasan you didn't come in very clear?
Hasan Doza: Yes sure, sure I am talking about when I reviewed your 10-Q I noticed an uptick or increase in your receivable in Bahamas?
David Sasnett: Okay.
Hasan Doza: So I wanted to kind of understand the underlying situation in Bahamas. I know in the past you have had a hard time collecting receivables on time. So I wanted to understand how much is it even more aggravated by COVID-19 so just want to get an overall update from you folks on the Bahamas accounts receivable situation.
David Sasnett: Well first, I think Hasan it is important to recognize that Hurricane Dorian hit the Bahamas back in September that really set the island back. And then obviously they've been impacted by COVID-19 because they've closed the islands tourist travel. But the situation that exists with our receivables, we've actually seen a slight decline in the receivables from the end of the year. And it was also a slight decline moving into April. This is a pattern that's existed for as long as I've been with the company and I've been with this for about 14 years now. It's just the way the Bahamas operate. The water and sewage corporation can't really meet the financial commitment for our bills. So periodically the receivable balance build, and then the government steps in and makes a lump sum payments on their behalf that brings the receivable balance down under control. It's important to note that they're paying us interest on these receivables. So we've never recorded any kind of allowance for doubtful accounts. And we feel very confident that when things stabilize the government will bring the receivables back down to a much lower level. But in the meantime, they're paying us periodically. Like I said, we received a substantial payment in April. And we're confident that over the long term we'll collect 100% of these receivable. We presently have a bit of a liquidity problem there in the Bahamas, but the government's recognizes that and I think they'll pay us. And I think you'll see hopefully once we get past the impacts of COVID-19 I think you'll see those receivables come down to more traditional levels. They're not at their highest level - I mean they actually have more money than they have now at some point in time in the past so.
Hasan Doza: And like - or can you remind us again, if you look at the Grand Cayman retail business, roughly speaking order of magnitude. What percentage of your customer base is like, typical residential retail versus small business customers, hotel and tourism related customers?
Rick McTaggart: Yes we don't provide that sort of detail on the split of consumption and stuff. But you can get a good idea of the impact just by looking at what we said in the Q. We've seen like a 13% decline in volumes in April in our retail business. So that was - that would have been the full impact of all the hotel closures and the tourism locked down. So while the retail sales have dropped, our local water sales in Grand Cayman to the other utility company there. They've come down a little bit, but not to the extent that the retail sales have dropped. So but we detailed the impacts, the April impacts in the Q there Hasan we’ll give you some numbers.
Operator: And the next question will come from John Bair with Ascend. Please go ahead.
John Bair: Just a follow-up on the Rosarito project and just wondering, I realize, the government agencies are shutdown and so forth. And we're just wondering what are the main obstacles at this point to proceed with getting that underway it seems like you're just so, close kind of knocking on the door to get this going and just maybe give us an idea what those main obstacles are at this point? Thanks.
Rick McTaggart: Yes sure John, so just to remind everybody. This date actually elected a new governor at end of last year, in the summer and he took office I think it was November 1. So you have all new administration there from late last year. It was getting familiar with the project, getting familiar with the obligations that are generated for the state. They have obviously, a different party that was elected different policies different views on how much state support should be lended to this project. So we were doing a lot of educating, for the first, certainly four or five months. And then really, what needs to be finished is the guarantee structure on the state side, which would allow us to move into closing the financing with banks and that sort of thing. So it's really in their court right now in the clients court to finish establishing this guarantee structure. You'll also note from our filings that the legislative framework that created that structure was renewed for another six months, right at the end of last year. So the congressional decrees that authorized the project and the guarantee structure will continue until June 30 of this year? And obviously, the COVID situation has impacted that timetable. So, we would expect that we'll have to negotiate with the state again on any sort of extensions to that legislation.
John Bair: Do you have any insights as to why an extension would only go six months? I mean, the project has been ongoing. And I know the wheels of progress turned slowly. Why would they do it in - a six month increment as opposed to say, a year or whatever they have any sense on that just the way they do business?
Rick McTaggart: Well you know, I don't have an answer. But I'd like to think that they were - optimistic that they can it done within that period. I'm not, I'm sure there's political calendars and that sort of thing that would have impacted it. So I can only say that my interpretation was that they were optimistic at the end of last year that they could get it done.
John Bair: One last quick one and that is I know there were some right of ways aspect still to be worked out. Had you been able to make any progress on that prior to this pandemic breakout and is that in pretty good shape or not?
Rick McTaggart: So those are some pretty expensive, final things - for us to get resolved. So we've put that on hold. We've negotiated agreements with the landowners and that sort of thing, but that's really on hold until we get some more visibility on when the government is going to get these guarantees in place. And there's also been some technical discussions about the project that have caused us to put the right of ways on hold until those things are resolved with the clients. Everybody has some changes they want to make to a project when they take it over and these could impact the right of ways.
Operator: [Operator Instructions] At this time, there are no further questions and this will conclude our question and answer session. I would now like to turn the conference back over to Mr. McTaggart.
Rick McTaggart: All right thanks a lot Sean. And again, thank you for joining the call today and we look forward to speaking with you again in August when we release our second quarter results. Take care and stay safe.
Operator: Thank you ladies and gentlemen. Now before we conclude today's call, I would like to provide the company's Safe Harbor statements that - will include important cautions regarding forward-looking statements made during today's call. The information that we have provided in this conference call includes forward looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including but not limited to statements regarding the company's future revenues, future plans, objectives, expectations, and events, assumptions and estimates. Forward-looking statements can be identified by the use of words or phrases usually containing the word believe, estimate, project, intend, expect, should, will or similar expressions. Statements that are not historical facts are based on the company's current expectations, beliefs, assumptions, estimates, forecasts and projections for its business and the industry and markets related to its business. Any forward-looking statements made during this conference, guarantees of future performance and involves certain risks, uncertainties and assumptions, which are difficult to predict. Actual outcomes and results may differ materially from what is expressed in such forward-looking statements. Important factors which may affect these actual outcomes and results include without limitation, continued acceptance of the company's products and services in the marketplace, changes in its relationships with the government of its jurisdictions in which it operates. The outcome of negotiations with the Cayman government regarding a new retail license agreement, its ability to successfully secure contracts for the new water projects, including the project under development in Baja, California, Mexico, its ability to develop and operate such projects profitably and its ability to renew existing bulk water supply contracts, its ability to collect its delinquent accounts receivable in the Bahamas, and its ability to manage growth and other risks, including those risk factors set forth under Part-1 Item 1A risk factors in the company's annual report on Form 10-K. Any forward-looking statements made during the conference call speak as of today's date. The company expressly disclaims any obligation or undertaking to update or revise any forward-looking statements made during this conference call to reflect any change in its expectations with regard to thereto, or any changes in events, conditions or circumstances on which any forward-looking statements is based, except as may be required by law. Before we end today's conference call, I would like to remind everyone that this call will be made available for replay starting later this evening and running through May 25. Please refer to today's earnings release for dial-in replay instructions available via the company's website@www.cwco.com. Thank you for joining us today. This concludes today's conference and you may now disconnect.